Operator: Good morning ladies and gentlemen and welcome to the Primerica Inc. Third Quarter of 2013 Financial Results Webcast and Conference Call. All participants will be in listen-only mode. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Kathryn Kieser, Senior Vice President of Investor Relations. Please go ahead.
Kathryn Kieser: Good morning, everyone. Thank you for joining us today as we discuss Primerica's results for the third quarter of 2013. Yesterday afternoon, we issued our press release reporting financial results for the quarter ended September 30, 2013. A copy of the press release is available in the Investor Relations section of our website at investors.primerica.com. With us on the call this morning are Rick Williams, our Chairman and Co-CEO; John Addison, Chairman of Primerica Distribution and Co-CEO; and Alison Rand, our CFO. We referenced certain non-GAAP financial measures in our press release and on this call. These non-GAAP measures are provided because Management uses them in making financial, operating and planning decisions, and in evaluating the Company's performance. We believe these measures will assist you in assessing the Company's underlying performance for the periods being reported. These non-GAAP measures have limitations and reconciliations between non-GAAP and GAAP financial measures are attached to our press release. You can see our GAAP results on page 3 of the presentation. On today's call, we will make forward-looking statements in accordance with the Safe Harbor provision of the Securities Litigation Reform Act of 1995. Forward-looking statements include any statement that may project, indicate or imply future results, events, performance or achievements, and may contain words such as expect, intend, plan, anticipate, estimate, and believe or similar words derived from those words. They are not guarantees and such statements involve risks and uncertainties that could cause actual results to differ material from these statements. For a discussion of these risks, please see the risk factors contained in our Form 10-K for the year ended December 31, 2012. This morning's call is being recorded and webcast live on the Internet. The webcast and corresponding slides will be available in the Investor Relations section of our website for at least 30 days after the presentation. After the prepared remarks, we will open the call for questions from our dial-in participants. Now I'll turn the call over to Rick.
D. Richard Williams: Thank you, Kathryn and good morning everyone. Getting on page 4, during the third quarter of 2013, our operating revenues grew 8% driven by strong investment savings products performance and higher term life net premiums. Net operating income declined by $1.6 million in the third quarter due a $4.8 million decline in net investment income reflecting share repurchases as well as certain items in the prior period. Alison will discuss these items as well as the year-over-year increase in operating expenses in a minute. Although net operating income experienced some downward pressure, share repurchases over the past 12 months drove a 9% increase in operating income per diluted share to $0.78 compared with the third quarter a year ago. Results also reflect $2.1 million of legal fees and expenses associated with the Florida retirement system matters that reduced net income, net operating earnings by $0.02 per diluted share in the third quarter. We believe these cases are without merit, and continue to vigorously defend them. In the third quarter net operating income return on adjusted stockholders' equity increased to 15.8% which is the highest that has been since we went public 3.5 years ago. Some of the dynamics drive in the sequential increase in ROE were lower than anticipated operating expenses and the full quarter benefit of the $155 million of shares retired in the second quarter of 2013. Going forward ROE will experience downward pressure as our recurring income accumulate and stockholders’ equity builds until capital is redeployed. Over the course of the next 12 to 18 months ROE should in the 14% to 15% range assuming we execute our stated capital strategy and assuming FRS expenses come in at expected levels. As we discussed last quarter, our plan is to execute another redundant reserve transaction in mid 2014 in order to execute our multiyear capital strategy. Over the next two to three years we anticipate being able to return approximately $150 million of capital to shareholders annually in addition to the shareholder dividends currently paid on an annualized basis. Now turning to segment results, in the third quarter term life net premium increased 11% year-over-year and term life insurance policies issued increased 1% from the year ago period, and were down 6% from the historically strong second quarter. Productivity in the third quarter of 0.19 policies issued per life-licensed representative per month was consistent with historical ranges. Sequentially, productivity declined from the 0.21 policies issued per life-licensed representative per month in the historically higher second quarter. During the third quarter our average issued face amount per policy increased 3% and annualized issued premium per policy increased 4% to $813 compared with the prior year period. Year-over-year our investment savings product sales were strong driven by 19% growth in retail mutual funds and 17% growth in variable annuity sales. Managed account sales were up 53% and managed account client asset values more than doubled as of September 20, 2013 versus the year ago period. Sequentially, investment savings product sales were down 5% and typically higher sales during the IRA session in the second quarter. Strong market performance drove our total client asset values to $42.18 billion at the end of the third quarter which was a 14% increase over the year ago period with 5% increase from the end of the second quarter. Now, John will discuss the distribution results.
John A. Addison: Thanks, Rick and good morning everybody. As I mentioned last quarter our goal coming out of this year’s convention was to generate momentum and drive long term sustainable growth by building distribution. Our efforts were successful with the size of our sales force, the size of our life insurance license sales force growing to 94,529 reps up 2% on a sequential basis and a 3% increase year-over-year versus the third quarter of 2012. This is the largest size of our sales force in the last two and a half years. As you can see on slide 5, initiatives launched at the convention led to the recruitment of over 51,000 new reps in the core and 8% increase over a year ago period. New life insurance licenses were up 12% year-over-year and increased 9% from the second quarter due to the enhancements we made to our licensing process in 2012 and our continued sales force focus. License ratios have significantly improved since the 2011 convention. The ratio of new recruits obtaining life licenses in the third quarter of 2013 was 19%, up from a 14% ratio for the full year 2011. We continue to work on initiatives in order to maintain the recruit to license ratio in the 18% to 20% range going forward. Fewer non-renewals in the third quarter positively impacted the size of the sales force on both the prior year period and prior quarter basis. We expect the percentage of license for non-renewals and terminations in relation to the size of the sales force will remain in the 8% to 9% per quarter in the future. The size of the life license sales force should increase slightly by year end. As we drive towards 2014, we’re working on initiatives in business enhancements focused on supporting our sales force. This will help grow distribution and help more middle income families navigate their financial futures. As discussed on slide 6, middle income families which make up approximately 58 billion households in the U.S. have all been abandoned by financial institutions as they have shift their focus to more affluent and mass affluent markets. The number of individual life policy sold in the U.S. on an annual basis has dropped 43% over the past 30 years even as the number of households with children rose more than 21%. Over the same time period if you adjust for inflation face amount of an issued policy grew 183% as more companies targeted higher net worth clients. According to our recent LIMRA study 35% of households have not purchased life insurance because no one has approached them and 50% of the under insured households say they’re considering more insurance. Not only do these families need more life insurance but 49% of Americans are not saving for retirement according to LIMRA. Primerica’s unique distribution model in educational sales approach positions us to field these financial gaps for hardworking middle income families. As stewards of this business, we will continue to aim initiatives in growing core distribution and expanding product offerings to meet the needs of middle income families in order to enhance shareholder value. With that I’ll turn it over to Alison.
Alison S. Rand: Thank you, John and good morning everyone. My remarks today will begin with our segment operating results followed by an overview of our invested assets as well as insurance and operating expenses. Starting with the term life segment on slide 7, in the third quarter term life operating revenues increased 9%, driven by 11% increase in net premium. Net investment income allocated to term life grew with required asset however, it remains flat year-over-year due to certain prior year period specific items including an unusually high volume of called securities and the recovery of interest on the previously defaulted borrowings. This coupled with higher insurance expenses which I’ll discuss later were key contributors to operating income, year-over-year growth, lagging revenue growth. Net premium grew faster than DAC amortization reflecting general improvements and persistency. Benefits and claims grew in line with net premiums as claims experienced was consistent with expectation. Now under for a commission expense continue to decline in year-over-year trend, resulting from changes in incentive program. In aggregate operating income, support income taxes with 5%, year-over-year. On a sequential basis, operating income declined $1.8 million from the second quarter, primarily attributable to historically strong persistency in the second quarter and relatively higher growth claims in the third quarter. Looking to next quarter, note that fourth quarter persistency experience is typically the least favorable of the year with DAC amortization expected to grow faster the net premium sequentially. On a sub-segment basis, new term year-over-year results reflect the continued building of the enforced block as well as the other factors I just described. In legacy pre-tax operating income was 7.1% of direct premium during the current quarter, which were consistent with the previous quarter and declined from 7.8% in the prior year period. As we noted in the past, legacy profit margins will decrease over time, some quarterly fluctuation related to mortality persistency in expenses. In 2014, we expect a legacy profit margin to decline to the mid 6% range. The 13% decline in pre-tax operating income in the third quarter versus a prior year period largely reflects lower allocated net investment income related to prior year positive items I mentioned earlier. Since most of the assets are allocated to legacy, the net investment income balance is larger in legacy than it is in new term. On slide 8, you will see our investment and saving products, operating revenues increased 13%, and operating income before income taxes remain consistent with the prior year period reflecting growth in sales and average client asset value, offset by higher DAC amortization and operating expenses. Excluding the legal fees and expenses related to the FRS manner that Rick mentioned previously. ISP operating income before income taxes would have increased 6% to 33.6 million year-over-year. Each quarter we adjust Canadian segregated fund DAC amortization to reflect our anticipated future revenues based on current asset value but then season market performance were in line with DAC amortization assumptions in the third quarter. However, since the third quarter of 2012 benefited from favorable amortization expense, it was a $1.1 million increase in DAC amortization year-over-year. Sequentially, DAC amortization was $1.3 million lower than in the second quarter due to market performance in the prior quarter period. A broader ray of ISP products enabled us to meet clients needs to market cycles and generate diverse sources of revenue and income. The relationship between ISP growth and sales revenue and income can vary from period to period by mix of the product sales and underlining asset performance. For example, this quarter the 14% growth in ISP sales led to a 20% increase in sales based revenue year-over-year primarily due to a strong new variable annuity sales in the quarter versus an elevated level of variable annuity internal transfers that generated lower commissions in the prior year period. ISP asset based revenue and income dynamics are driven by underlying performance at both the U.S. and Canadian market as well as specific product performance. Our client asset values are primarily equities with a small fixed income component. In the third quarter, average client assets grew 15% and asset based revenue increased 12% or asset based commissions were 21% year-over-year. Canadian segregated funds average client asset values were flat with the prior year period creating mass pressure on revenue due to their higher relative rate of revenue generation and other sources of asset based revenue. As is noted in the past, we recognize asset based revenues on Canadian segregated funds, the commission expenses associated with this product are recognized over time and amortization of DAC and insurance commission. Asset based revenue and asset based commission growth are more closely aligned if Canadian segregated funds were removed from asset based revenues in the comparison. On a sequential basis, ISP revenues increased 1% in operating income before income taxes increased 15% compared with the second quarter. Results reflect asset based revenue growth, lower legal fees and expenses and lower Canadian segregated fund DAC amortization. On slide 9, you can see that corporate and other distributed products operating revenues declined $3.7 million and the operating losses for income taxes increased $5.3 million from the prior year period. Net investment income allocated to corporate and other declined $4.8 million. Contributing to the decline or growth in term life required asset and certain prior year period specific items. The key driver is the continued optimization or capital base to share repurchases. While set actions suppressed net investment income, they are catalysts of both RV and EPS expansion. In our New York subsidiary benefits and claims increase $4.4 million as a result of increases in policy reserves for certain non term life insurance product. Insurance expenses at our New York subsidiary decreased $2.8 million due to the release of certain state assessment accruals within our non term life insurance business. Neither of these items are expected to impact future results. Turning to slide 10, our investments and cash were $1.91 billion as of September 30, 2013, up from $1.88 billion at June 30. Our net unrealized gain were consistent at the end of the period at $112.9 million compared with June 30 and the level of growth on realized losses remain low at $14 million. The average book yield of investments excluding cash at quarter end was 5.19% down from 5.29% at June 30. At higher yielding maturities were replaced with lower current market yield. The average yield on purchases was 3.78% for the quarter, up from recent period. While the increase in interest rates over the last six months has allowed us to increase the yield on recent purchases, we do not expect to be able to replace the yield on our maturities at current market rate and therefore we will continue to experience download pressure on the yield of our portfolio. Over the next 12 months approximately 13% of our portfolio will mature and effective yield of around 5.5%. The liquidity profile of our holding company continues to be strong. As of September 30, the holding company had invested assets and cash of $53.8 million. Now let's look at trends and insurance and operating expenses on slide 11. Last quarter we provided guidance that third quarter insurance and operating expenses would be in line with second quarter levels or at about $73 million. Actual results were considerably less at $66.4 million, nearly $3 million release of state assessment accruals in corporate and other was not foreseen in our guidance. The guidance also assume that FRS related legal fees and expenses would be in $3 million to $4 million range or actuals were about $2 million largely due to the rescheduling of some arbitration hearing. Year-over-year overall insurance and operating expenses increase $5.8 million primarily from the FRS related legal fees and expenses, $2 million in annual merit increases and an additional layer of stock compensation, $1.3 million of premium and growth related expenses and $1 million of incremental expenses primarily from IT infrastructure. Insurance and operating expenses also benefited from the state of certain accrual release in our New York subsidiary mostly offset by our prior year $2 million annual employee benefit accruals to that was not necessary in 2013. In Q4 we anticipate total insurance and operating expenses to be approximately $68 million to $71 million. Assuming FRS related legal fees and expenses continue in the $2.5 million to $3.5 million range. Now, I will turn it back over to Rick.
D. Richard Williams: Thank you, Alison. Third quarter results were marked by solid core performance across business segments, a recurring income base and positive investments savings product performance, coupled with prior year shares repurchased – prior share repurchases continued to drive expansion of operating earnings per share and ROE underscoring the strength of our franchise. As we look to the future, we will continue to execute initiatives to grow distribution capabilities. Increase earnings and redeploy capital in order to drive long-term shareholder value. Now, I’ll open it up for questions.
Operator: Ladies and gentlemen, we will now begin the question and answer session. (Operator Instructions) Our first question will come from Stephen Schwartz of Raymond James, please go ahead.
Stephen Schwartz – Raymond James and Associates: Hey, good morning, everybody. A couple here. John, first on the agent persistency, you did note that it was lower than the target you were looking for. Was there, every time this happens, it seems there is something going on, somebody delays renewals or things like that. Did anything happen in the quarter?
John A. Addison: Yes, Bob I am going to let Rick handle that because he is staring at a sheet with all of the answers of this statement.
D. Richard Williams: Steven, actually, no, there was nothing unusual in the quarter. We are pleased to see the numbers come in lower than what we had originally guided everyone to. Over the course of the last year we have implemented a whole series of programs. The intent is to improve our licensing rate and enhance the recruit success rate, success now, our new licensing system, the new comp system or field equity program. A lot of programs could be impacting that nonrenewal rate, and true, we are not sure whether the low rate relates to those programs or potentially just the economy improving. As John mentioned, as we get additional evidence that it is low, we had changed our guidance from 8.5% to 9%, down to 8% to 9% for non renewals on a quarterly basis. And the only caveat I’ll add to that is for the first quarter of 2014, there will be somewhat higher because of year-end processes, but we are pleased with it, there is nothing unusual going on in the number.
Stephen Schwartz – Raymond James and Associates: Okay, great. And then, Rick, while I have you, maybe, I am sure you have people in Washington, the Department of Labor seems to have backed off its fiduciary standards, but maybe you could touch on what's going on in Washington right now on that?
D. Richard Williams: Yes, I wouldn't say they backed off, they have continuously said that they will re-propose originally it was going to be in the second quarter of this year, then it was going to be in October of this year, then it was going to be at the end of this year. They keep pushing it back, but I think their intent at some point is to re-propose, the question is when and sort of what will they re-propose because they have indicated they are making substantial changes from what was originally proposed. So, we watch it and are waiting, but we will see what happens.
Stephen Schwartz – Raymond James and Associates: Any movement in Congress on the investor, retail investors protection act?
D. Richard Williams: No.
Stephen Schwartz – Raymond James and Associates: Okay. All right, thank you.
Operator: (Operator Instructions) And we have a question from Jeff Schuman of KBW, please go ahead with your question.
Jeff Schuman – KBW: Good morning.
D. Richard Williams: Hi, Jeff.
Jeff Schuman – KBW: I was wondering the rescheduling of the arbitrations with this sort of fairly normal thing or I was just wondering if the possibility that the plaintiffs were sort of regrouping, I guess in light of very limited success they have had so far?
D. Richard Williams: No, I think that just sort of the normal course. The arbitration, the ones that have happened have taken a longer than originally anticipated and as a result of them taking longer, it's just pushes the other ones back, but we have no evidence that they reconsidered positions at this point.
Jeff Schuman – KBW: And do you have the current count of arbitrations pending?
D. Richard Williams: Yes, I do. There are 23 pending arbitrations. There are 32 lawsuits pending in state trial court and one lawsuit in federal court currently on appeal. There are 81 claimants in those pending arbitrations and lawsuits, which is down from 91 at the end of the second quarter. That will all be in the 10-Q but those are the new numbers.
Jeff Schuman – KBW: Okay. Thank you.
Operator: And our next question will come from Dan Bergman of UBS. Please go ahead with your question.
Dan Bergman – UBS: Hi, good morning. Just wanted to see if there is any color you can give on kind of a sales impact of new variable annuity in fixed index annuity products from Lincoln that you had launched recently. And just any thoughts on the interplay between the new Lincoln VA product and kind of the reduction and income benefits on your existing net product would be helpful?
John A. Addison: Sure, I mean, the Lincoln product has been very well received by the field. We did a rollout with the road show and wholesaler support just to give you a feel for it. In August, the Lincoln product accounted for 39% of VA sales and in September accounted for 61%. So it's as a percentage of the total, it's a substantial piece, I will say MetLife sales have also held up quite well and better than we would expect as well.
Dan Bergman – UBS: Okay, great. And another one I had was, I just wanted to see if there is any sense to give on how much if at all the July incentive impacted both term life and investment in saving sales. Just trying to see if we should think of the reported 3Q figure is kind of a go for run rate or is there any positive benefit from that July incentive in there?
John A. Addison: I think at the end of the day, I mean, remember we had a convention and so conventions are always, every two year convention is always a positive kind of a recharge and re-energize for sales force. And so, the thing we feel the best about in the quarter from a standpoint of the sales force was, you will remember from our previous calls before the convention that after 2011, we kind of did a half price recruiting thing and we – and by the way, it wasn't all day, we had a huge jump in recruiting and it led to good production, but that was really when we focused on the fact that the licensing ratio was absolutely not strong enough and we made some of the adjustments. We had our incentive this year and our view is it led to a very healthy increase in recruiting, but from our perspective of building distribution more importantly remained, it did not lead to degeneration in our licensing ratio of those people. Clearly in the fourth quarter, we don't have a convention and as I’ve got it to and said before that our goal is to in the fourth quarter and year-over-year growth in recruiting continue to have that and keep our licensing ratio up. So that our view is the sales force should grow slightly in the fourth quarter but our goal is to continue to have year-over-year growth in recruiting and to have a strong licensing ratio and to drive sales force growth that way.
D. Richard Williams: Yes, just a comment. We don't believe that investment sales were impacted by the conventional or any incentives that were running that's much more attributable to our long-term focus on the business and also the strong market itself.
Dan Bergman – UBS: Thank you, very helpful.
Operator: And ladies and gentlemen that will conclude our question-and-answer session. This will also conclude today's Primerica conference call. We thank you for attending today's presentation and you may now disconnect your lines.